Operator: Good morning, and welcome to today's conference call to discuss Uniti's Third Quarter 2025 Earnings Results. My name is Michelle, and I'll be your operator for today. Today's call is being recorded, and a webcast will be available on the company's Investor Relations website, investor.uniti.com, beginning today and will remain available for 365 days. [Operator Instructions] It is now my pleasure to introduce Bill DiTullio, Uniti's Senior Vice President of Investor Relations and Treasury. Please begin.
Bill DiTullio: Good morning, everyone, and thank you for joining today's conference call to discuss Uniti's third quarter 2025 results. Speaking on the call today will be Kenny Gunderman, our CEO; and Paul Bullington, Uniti's CFO. John Harrobin, President of Kinetic, will also be joining us this morning during Q&A. Before we get started, I would like to quickly cover our safe harbor statement. Please note that today's remarks may contain forward-looking statements. These statements include, but are not limited to, statements regarding Uniti's fiber build strategy, the business' growth potential, our 2025 outlook and other statements that are not historical facts. Numerous factors could cause actual results to differ materially from those described in the forward-looking statements. For more information on those factors, please see the section titled Safe Harbor Statement in the accompanying presentation and the Risk Factors sections in our filings with the United States Securities and Exchange Commission. With that, I would now like to turn the call over to Kenny.
Kenneth Gunderman: Thanks, Bill. Good morning, everyone, and thank you for joining. Starting on Slide 3, we're very pleased to have closed our merger with Windstream during the third quarter, and we're now well positioned as the premier insurgent fiber provider. We have a scaled national wholesale fiber footprint that puts us in rare company to win large-scale Fiber Infrastructure deals, and we are first or early with fiber to hundreds of Tier 2 and 3 markets around the country, giving us the right to win for many years into the future. Our strategy is very clear and is the same simple winning formula we've had at Uniti for years. First, continue to build fiber into unique locations, including by overbuilding legacy networks and moving customers onto our owned fiber while aggressively managing out of legacy products and services; second, providing operational excellence; and third, having an insurgent obsessive focus on the customer. This formula has led to industry-leading churn and NPS scores and predictable mid-single-digit growth at Uniti. Fiber is indisputably a superior product and coupled with execution prowess, we're now firmly on the same path post our merger with Windstream. Even though we've not yet had full quarter of performance to report, we're starting to see strong improving trends. We continue to add industry veterans to our leadership team, including with experience at Frontier and Ziply, among others, and we've now fully onboarded and are ramping up key third-party partners to accelerate our fiber build and go-to-market strategy. We now have 115 active third-party crews, which is about 2.5x increase from before the merger, and we should have close to 400 by the second quarter of next year. Thus, even though we were behind our plan at the merger close, we fully expect to get caught up and beyond in the first quarter of next year. From an operational point of view, we're very pleased and focused on improving our customer experience and are seeing early progress. For example, in October, we had the highest first call resolution ever at Kinetic, the lowest transfer rate in over 2 years and a record low dispatch rate and a record low for fiber repeat trouble tickets, among other improvements. New leadership with experience building and executing on a scaled fiber-to-the-home strategy is focusing our field resources and go-to-market teams on what matters most to our customers in this new competitive environment. We are now an insurgent share taker and have the right strategy, leadership and assets to accelerate trends towards positive revenue and EBITDA growth. Turning to Slide 4. During the quarter, we saw strong fiber revenue growth of 13%, the highest number of fiber gross adds ever, and the highest net adds in 2 years at Kinetic. Because of our historical fiber-to-the-node investment, we were also able to quickly and cost efficiently upgrade 85% of our fiber footprint to be multi-gig capable, greatly enhancing our upsell opportunities in the coming quarters. In Fiber Infrastructure, we had an outstanding quarter of new bookings fueled by hyperscalers, and we were named "The Best North American Connectivity Provider" by Capacity Media. The opportunity in wholesale fiber right now is generational in nature, and we are extremely well-positioned with the right strategy, leadership and assets to capture share in dark fiber and waves. As you can see on Slide 5, we're making steady progress towards all of our key goals. Almost 80% of total revenue today is from core fiber businesses, while nearly 40% of our total revenue for the entire company and at Kinetic is from fiber. We also grew homes passed and fiber subs by 11% and 17% year-over-year and are well on our path to 3.5 million homes and 1.25 million fiber subs by 2029. Slide 6 illustrates that our path forward is not only clear but it's also reasonably predictable as the critical fiber inflections are already beginning. By the end of this year, more of our consumer customers at Kinetic will be on fiber than legacy networks. And by the second quarter of next year, Kinetic's consumer fiber revenue will exceed DSL revenue. By the end of next year, consolidated fiber revenue will exceed 50% for the entire company. Once these important inflections happen, the flywheel starts to accelerate, leading to total revenue and adjusted EBITDA growth year-over-year in 2026 for our core Fiber businesses, setting us up for year-over-year revenue and adjusted EBITDA growth for the entire company beginning in 2027. Turning to Slide 7. A vitally important part of our growth will come from our Fiber Infrastructure business. There has never been a better time to be a wholesale fiber provider. Broadband trends are accelerating across virtually all categories, especially AI-driven use cases, as evidenced by another strong quarter of new bookings. Although we're building substantial amounts of new fiber especially for the hyperscalers, our scaled national footprint gives us terrific lease-up potential, driving our blended cash yields to 34%, the highest we've ever seen, and we believe there's more to come. On Slide 8, our hyperscaler funnel has grown approximately 13% since the second quarter with numerous large deals getting booked but being replenished with many more. Hyperscaler activity as a percentage of our total funnel at stand-alone Uniti has improved materially year-over-year to around 30% of MRR. Importantly, when measured on a total contract value basis, hyperscalers are an even higher percentage of the total combined sales funnel, highlighting that the benefit of these deals are not always apparent in traditional bookings metrics. Before turning the call to Paul, I want to briefly provide an update on our outlook with hyperscalers. We now believe the total addressable market for AI and hyperscalers for fiber providers is approximately 50% higher than what we originally estimated at the beginning of this year. We now believe the total addressable market for AI and hyperscalers for fiber providers is approximately 50% higher than what we originally estimated at the beginning of this year. Our conviction resonates from the strong new bookings we're seeing, our steadily growing qualified funnel and the bespoke conversations we're having with our customers. Our customers continue to say to us both privately and publicly that investing in AI infrastructure is mission-critical to their businesses. Demand constantly outpaces supply and quarter after quarter, CapEx assumptions go up. For Uniti, the next few quarters will likely bring the largest deals we have seen to date, and we have clear visibility into at least 3 years of strong value-accretive deal flow. With that, I'll turn the call to Paul.
Paul Bullington: Thank you, Kenny. Starting on Slide 11. I'd like to touch on some of the key third quarter highlights for both Kinetic and our Fiber Infrastructure segment. As a reminder, our fiber-to-the-home platform will continue to be branded as Kinetic. Fiber Infrastructure will include our previous Uniti Fiber and Uniti Leasing segments, along with the Windstream Wholesale segment, and we are now also referring to the Windstream Managed Solutions segment as Uniti Solutions. During the quarter, we continued to make solid progress on several fronts. Starting with Kinetic, we expanded our fiber network to pass an additional 56,000 homes with fiber, ending the quarter with 1.8 million homes passed. Kinetic also added 24,000 net new fiber subscribers during the third quarter, ending the quarter with 507,000 total fiber subscribers. As Kenny mentioned earlier, this was the second highest level of net adds in the past 2 years, and total Kinetic fiber subscribers grew 17% from the prior year period. Kinetic Consumer fiber revenue grew 26% year-over-year during the quarter, and this growth is being driven by strong adoption of our fiber-to-the-home product, bolstered by the performance of the various marketing initiatives at Kinetic that target both our newer and more seasoned cohorts. At Fiber Infrastructure, Uniti and Windstream combined to record consolidated pro forma bookings MRR of approximately $1.6 million, the second highest level in over 2 years. Slide 12 highlights the sustained momentum we are seeing within Kinetic Fiber. Fiber penetration of almost 29% during the quarter was up 50 basis points sequentially, the second-best sequential improvement over the past 3 years and 130 basis points year-over-year. while fiber ARPU increased 10% year-over-year. The slight sequential decrease in ARPU during the quarter was primarily driven by onetime price adjustments and the acceleration of new fiber subscriber net adds. Turning to Slide 13. The strong improvement in our cohort fiber penetration is being driven by various marketing initiatives, including our Fiber Forward efforts that we launched last year. We've seen a 200-basis point improvement in our 2023 cohort penetration levels from year 1 to year 2 and penetration levels in our year 1, 2024 cohort that are on par with year 2 penetration in older cohorts. We expect to maintain or improve this trajectory going forward, and the team is now focusing on executing the playbook to increase penetration in our older cohorts. Given our current trajectory, we remain confident that achieving our 40% terminal penetration target is very achievable. Slide 14 lays out our key targets for Kinetic this year. As Kenny alluded to earlier, we now have a target of reaching 1.9 million homes passed with fiber by the end of the year, which would bring fiber coverage within the Kinetic footprint to 42%. With respect to our previous target of 2 million homes, as Kenny mentioned, we expect to fully catch up in 2026. We also expect to end the year with approximately 536,000 fiber subs and realize approximately $500 million of consumer fiber revenue in 2025, an increase of roughly 25% from the prior year. In terms of cost per passing, we continue to expect the cost going forward will likely be in the $850 to $950 range, resulting in a blended cost of $750 to $850 per passing over the life of the build program. Slide 15 provides a pro forma view of Uniti's consolidated results for the third quarter. Consolidated pro forma revenue was down approximately 6% year-over-year during the quarter, primarily driven by the continued decline in legacy TDM services and Uniti Solutions. However, top line growth in other parts of the business was strong with Fiber Infrastructure growing 3% year-over-year and Kinetic Fiber-based revenue inclusive of consumer, business and wholesale services growing 17% year-over-year. As we execute on and accelerate our fiber overbuild plan, we expect fiber services at Kinetic will continue to deliver consistent strong growth quarter-over-quarter. In addition to the information provided in our earnings materials, we have also included additional supplemental pro forma financial information on our Investor Relations website. Slide 16 further demonstrates that the growth in each of our core fiber lines of business has been very strong, and we expect that growth to continue given the superior nature of fiber as a product. As Kenny mentioned earlier, given this pace of growth, we expect fiber to overtake legacy services as the majority of our revenue by the end of 2026. As a reminder, we will continue to face headwinds from legacy services over the next couple of years that will weigh on consolidated revenue and EBITDA. With that said, there are 3 important points I'd like to make. First, legacy services in no way diminish the value of our core fiber business. Secondly, within a relatively short period of time, the shift to fiber revenue will make legacy services revenue increasingly less material. And thirdly, in the meantime, Uniti Solutions is generating significant and predictable cash flow. Please turn to Slide 17, and I'll now cover our updated 2025 outlook for the combined company. We have provided 2 views of estimates for 2025 on this slide. The 2025 as-reported outlook includes 7 months of stand-alone Uniti results plus 5 months of combined Uniti and Windstream. This is our formal guidance for 2025 and matches what was included in our earnings release that was filed earlier this morning. We have also provided a pro forma view for 2025, similar to what we have provided in prior quarters. The following comments on our 2025 guidance will be based on the as-reported outlook view. Beginning with Kinetic. We continue to expect revenues and contribution margin to be $945 million and $385 million, respectively, at the midpoint. We now expect to deploy $450 million of net CapEx at the midpoint of our guidance, down from $510 million previously, primarily due to the reduction in our homes passed target for 2025. At Fiber Infrastructure, we expect revenues and contribution margin to be $1.1 billion and $770 million, respectively, at the midpoint for full year 2025. The $35 million increase in contribution margin is related to a shift of expenses from the Fiber Infra segment to corporate expenses as accounting continues to be finalized for the merger. Although we are no longer providing separate formal guidance for Uniti Fiber and Uniti Leasing, our 2025 outlook for both of those segments is unchanged from our prior guidance. Our outlook for net CapEx at Fiber Infrastructure this year is still $310 million at the midpoint of our guidance and represents a capital intensity of approximately 30%. Turning to Uniti Solutions. We expect revenues and contribution margin of $320 million and $155 million at the midpoint. Altogether, we expect consolidated revenue and adjusted EBITDA of $2.2 billion and $1.1 billion at the midpoint of our 2025 outlook with consolidated net CapEx of $805 million. Finally, I'd like to provide some brief comments on our capital structure. Slide 18 illustrates how Uniti's cost of capital has improved significantly over the past 2 years. If you go back to when we launched our 10.5% secured notes offering, our secured and unsecured debt was yielding over 12%. Fast forward to today, and our debt is currently yielding around 8% on a blended basis, a 450-basis point improvement. Over the past several months, we have continued to execute on a number of planned actions to extend our debt maturities, lower our overall cost of debt and drive meaningful interest expense savings. With our most recent refinancing of our 10.5% 2028 secured notes, we successfully pushed $2.3 billion of debt out 4 to 5 years and will save close to $60 million in annual interest expense. We also recently closed on our second ABS financing at -- of Uniti Fiber's assets with a blended coupon of 5.67%, which represents the tightest spreads on a fiber ABS deal in almost 40 years. Going forward, we will continue to take an opportunistic approach to refinancing our outstanding debt with near-term maturities. We also believe that ABS is likely to play a growing role in our capital structure given its comparative cost advantages. To that end, we are working to establish a separate ABS program with fiber assets at Kinetic. With that said, we are focused on maintaining a healthy mix of both ABS and non-ABS debt, and we will be balanced in our approach. At quarter end, our pro forma combined net leverage was 5.55x, and we still expect to end the year with a combined net leverage of between 5.5x and 6x. I'll now turn the call back over to Kenny for closing comments.
Kenneth Gunderman: Thanks, Paul. I'd like to close with a couple of comments on integration and some incremental growth areas we're focused on. First, integration is going very smoothly, and we've had virtually no system nor customer disruptions. We're also well on our path to full integration and synergy achievement within 36 months, which is in line with our original expectations. We're also excited about a number of budding growth areas, including cross-selling Uniti Solutions products into our enterprise base at both Uniti Fiber and Kinetic. Today, we estimate our managed services attachment rate to be below 3% at Uniti Fiber, for example, and we think it could rise to be materially higher over time. Also, as discussed numerous times before, with the complementary combination of the Uniti and Heritage Windstream wholesale products and networks, we're increasingly confident we can be a bigger share taker in the growing waves market. Today, we estimate our market share to be less than 5%. And with our scaled national network and unique routes, we believe our growth potential could be material. Lastly, at Kinetic, we believe there's a sizable and untapped opportunity with multiple dwelling units within our footprint, and there are seemingly attractive edge-out builds off the Kinetic Fiber footprint and the existing Uniti Fiber dense fiber network. We'll have much more to say about these growth areas in the coming quarters. All said, there's never been a better time to be a fiber provider, and our strategy at Uniti is right for the moment. With that, we'd be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Greg Williams with TD Cowen.
Gregory Williams: Kenny, just the first question, you noticed in the slide that the total addressable market for fiber is booming, if you will. We're seeing the same thing hearing hyperscalers are even prolonging training phase as they do AGI training now and some of these data centers could be hybrid inference and training data centers. I'm just curious with this 3 years of strong visibility that you're seeing, if the deal mechanics are now changing or when will they change? When will they go from more upfront NRC revenues to more of a lit services and lower CapEx, high-margin structure? Second question is on ABS deals. Paul, you mentioned that you're creating a separate vehicle for Kinetic ABS. I think in the past, you said there's over $3 billion of ABS capacity within the Kinetic assets. Just curious what you would be doing with that ABS. Do you have -- is the business fully funded for the fiber-to-the-home build at this point? And then at this case, the ABS deals would be for refining the debt stack and other projects?
Kenneth Gunderman: Greg, all great questions. Yes, on the hyperscaler incremental TAM, look, when we estimated it back at the beginning of this year, we used all the data we had available. We used internal estimates. We used consultant reports that we saw. We used some internal consultants that we were working with, and we came up with those numbers and thought that they were fairly conservative at the time. And when you fast forward to today, I think the real takeaway from the page is not necessarily the aggregate numbers. It's really just the increase in bullishness that we see for ourselves, and that 30% to 50% is a good indicator of that because when we look at those aggregate numbers and compare them to the same kind of data points we started with back at the beginning of the year, they look even more conservative. So, for the industry, both from a digital infrastructure perspective and from a fiber perspective, they just look increasingly conservative every day based on what our customers are saying to both of us privately and publicly. The same comments over and over that demand is outpacing supply. They can't keep up with the demand. And that's really important. And we've talked about this before, Greg, that we've sold mega strand counts, 432 strand counts, and we've had the same customer come back and ask for another 432-strand count. That's just a very bullish data point on demand outpacing supply. They talk about how the AI infrastructure is mission-critical to their businesses. And so, we're very excited about what they're saying and what they're doing. And we're really well-positioned for it at Uniti. We're one of the few scaled national fiber providers out there. Many of these builds are in Tier 2 and 3 markets where our network is naturally a good fit. And so we continue to take a sizable share of the business that we see in our footprint, and we're starting to look outside the footprint a little bit to grow the network strategically. And to that point, when we look out over the next 3 years, the funnel is full of deals that we've either already signed and booked or that are in the funnel with a high degree of confidence that we're in a really strong position to win those deals. And really to your second part of your question, are the types of deals changing -- and I would say yes and no. I think there's absolutely, in our view, a very gray line between the training phase and the inference phase. We started out talking about that as being sort of 2 distinct phases. But as we've gotten deeper into this, it's very clear that they're not 2 distinct phases. There's -- training is going to persist for many years, we think, based on conversations with our customers, that these training models are going to need to be updated on a very regular basis, including with Agentic AI and all the other use cases that we're seeing. And so, we're really excited about the builds that we've put in place today to enable these training data centers and feel like there's going to be the second and the third and the fourth comeback for additional fiber to enable those data centers. So, we think that's going to persist. And we absolutely believe that once AI is adopted on a mass scale among not just the hyperscalers, but the superscalers and the Neoclouds and large enterprises and eventually individual retail consumers like all of us that our roughly 5 million connected fiber endpoints are going to really benefit from that. And I think the deals that we're seeing from hyperscalers, as we've said, Greg, they've always run the spectrum all the way from greenfield builds with very high NRCs, upfront NRCs. And we love those deals where we're building fiber that's strategic. But also, on the very other end of the spectrum, we're selling existing capacity or existing network, either in waves or dark fiber IRUs or in leases. And we think that's going to continue. And I think it's probably going to err more towards the latter than the former as we get into more of the inference phase. But just as an example, the big deal that we announced last quarter, the large hyperscaler deal, that was all existing infrastructure, and there was virtually no capital associated with that, and it came in at a very high margin. So -- and when we look in the funnel, there's a very good mix of those in the coming quarters. And when you look at that free cash flow yield page that we've shown for quarter after quarter for the past 2 years, the jump from 29% to 34% is really largely driven by hyperscaler deals being very high cash flow margin deals. Sorry, I went long on that question. I think ABS is over to you.
Paul Bullington: Yes. Greg, this is Paul. I'll take your question on ABS. So, we aren't providing specific guidance at this point with regard to 2026 and capital and any financing required in 2026 to fund the Kinetic build plan in particular. However, we do expect to be in a period of investment at Kinetic and Uniti generally, particularly as it relates to the fiber build plan at Kinetic over the next, call it, 4 years. So, we will raise additional capital. And during this period of investment, we do expect our leverage to remain above our long-term target of 4 to 4.5x. But as Kenny has talked about, this is the right strategic move for the business. And it's very similar to the strategy we have deployed in the Fiber Infrastructure business sort of years ago. Building fiber, we think, gives us the right to win. And at Kinetic, once we have that superior product ubiquitous across that network or nearly ubiquitous across that network, it gives us the line of sight to that growth and to free cash flow over a period of time and to eventual deleveraging as well. So, it's definitely the right move for the business to make that investment. And we're excited about ABS. We think ABS will definitely have a role to play with regard to financing the build plan at Kinetic given the relative cost advantages of ABS debt. And like you alluded to, there's significant ABS capacity at Kinetic in particular, the $3 billion to $4 billion capacity number is what we've talked about historically, and we still believe that that is true. With that said, we're very focused on keeping the right amount and mix of assets in the leveraged finance credit box at Uniti. And we understand the long-term importance of access to the high-yield market for Uniti in addition to ABS. So, ABS, we think, is enhancing a part of the solution, but certainly not the full solution for Uniti's capital structure going forward. And when we talk about the 4x secured and 6.5x unsecured ratios as governors for our capital structure, that is something -- that's on our non-ABS assets, I guess, is the best way to put it. That's on our non-ABS assets and EBITDA, and we think that's sometimes missed by the market.
Operator: And the next question will come from Frank Louthan with Raymond James.
Frank Louthan: What do you need to do to take more share in the wavelength market? And who do you see your main competitors there? And then you've made some key hires at Kinetic. Any more positions to fill there? Do you think the teams rounded out for what you need to do?
Kenneth Gunderman: Frank, I'll start, and then I'm going to ask John Harrobin to help follow on the second question. And welcome to John. This is his first Uniti earnings call and first of many more to come, hopefully. So yes, Frank, on the wave market, as you know, at Uniti, prior to the merger, we were just starting to get into that market in a bigger way. The vast majority of our product set on the wholesale side was focused on dark fiber, and we love that product, lower capital intensity, higher margin, lower touch, just higher and substantially lower churn. But we're starting to get into the wave market because we definitely began to recognize that there are unique routes on our network, and we felt like lighting those unique routes could give us a -- just similar to how we target Tier 2 and Tier 3 markets, targeting those less trafficked routes could be an opportunity for us to take share, especially as more and more new fiber is being built around the country. So that was kind of the beginnings of the thesis. And now with the merger, we've not only brought in more network to sell, we've brought in people on the team who have a lot of experience selling waves. We've got engineering talent. We've got product talent, marketing talent that is a terrific complement to what we previously had at Uniti in addition to the fact that now we've got a lot more owned network to sell. And in the past, I think the waves market has been really characterized by pricing competition, especially on the Tier 1 routes where you've got 3 or 4 different providers. And we don't tend to like to compete in areas on price. We'd rather compete on infrastructure and where we've got unique infrastructure. And really to the heart of your question, why do we think there's an opportunity for us going forward, it's kind of building upon the original thesis, which is we think there's going to be more and more wave traffic needed in less traffic markets today, so more of the Tier 2 and Tier 3 routes. And we think more and more of the hyperscalers and other Neoclouds, superscalers are going to need waves. And they don't tend to purchase capacity based on price. They tend to purchase based upon route diversity, unique routes, and reliability, and the ability to provide good customer service, all things that we're seeing on the build side with these customers today. They tend to purchase based upon route diversity, unique routes and reliability and the ability to provide good customer service, all things that we're seeing on the build side with these customers today. So, we think going forward, we've got the ability to capture some share there and not based on price but based on those different characteristics. And with respect to your question about where that share is going to come from and how big that opportunity is, I'm going to hold on that question for now. We're working on that. We'll give you a more refined answer on that in the future. But all that to say, with 5% of the market today, we've got a long -- we think we've got a nice amount of upside relative to where we are today. And look, on the leadership question, very excited to have John on the team. He's been a terrific addition, not just to the leadership team, but on what he's already done at Kinetic. And importantly, he's brought in some key additions to his team already, and I think there's more to come, and I'm going to let John comment on that.
John Harrobin: Yes. Thanks, Frank. Good to be here. And the Kinetic team as it exists today is highly talented. Their results and their resiliency going through a number of changes and the results that they produced during those changes is really a testament to their capability. When it comes to team structure, we first look at what's our strategy and what's our operating plan. And that's what we've really been finalizing over the last few months. We finalized our build strategy. Now it's our operating plan strategy. We'll end November with that kind of tucked in, in a way in a good spot. And then it goes into structure. And we've realized early that we needed a couple of key roles in the business. We've hired a growth leader, David Oliveira, who I've worked with at a couple of other companies, and he is a spectacular leader with a long runway and career ahead of him. Twenty years from now, when we're watching the industry from afar, he'll be running it. And I'm proud to say that he's part of the team and making a large impact already. We have an active search right now for a construction lead. We've got some good people in that part of the business doing double duty as a few folks have exited that department, and we expect to fill that soon with highly capable leaders as well. And then as we look at other opportunities in our operating plan, there's probably going to be a few additions we need to make and refinements around capabilities that we're not so strong at today or even new areas that Kenny mentioned before that are untapped in the Kinetic business. So, when you think about the trajectory, we've got what we need now, and the target is 6 months after the close. So, we closed on August 1, 6 months after the close by February 1. We have the go-forward in-person, highly capable team in place.
Operator: And the next question will come from Michael Rollins with Citi.
Michael Rollins: First, I wanted to ask about Slide 15 a little bit more. So, thanks for sharing this pro forma outlook, both for revenue and EBITDA. Iâ€™m curious if you could just share with us how to think about these trends going into 2026 in terms of the type of growth for Fiber Infrastructure. You talked about the tailwinds in Kinetic that you're seeing for this year and just trying to understand maybe some of those headwinds. And then finally, on the EBITDA side of that chart, as revenue moves for each of these big buckets, these segment buckets, how do you think about the operating leverage or the incremental margins that you can extract as the revenues evolve in each of those pieces? And then just secondly, just curious if you have an update on the strategic front. Last quarter in the slides, I think you referenced starting a review for the acquired assets. And just curious if you have any updates on how you're thinking about optimizing your portfolio of assets.
Kenneth Gunderman: Michael, I think I wrote down all the questions. We'll try to hit most of them, and I'll start, and Paul, you can jump in on some of the trends, and then I'll come back on [indiscernible] the question. And really, Michael, on the trends, we don't want to get too much into forward guidance at this point other than what we've laid out in some of the key inflection points for next year and how that sets us up for going into 2027. And so, I'll -- but we'll have obviously more to come on guidance when we come back together in February of next year. But on the businesses, I'll start with Fiber Infrastructure. I mean that's a business that we know well that we love and bringing the Windstream Wholesale business into that fold along with heritage Uniti, Fiber and Uniti Wholesale is a terrific synergistic fit. And we think the historical mid-single-digit growth there, we're going to get back to that. And I think there's great both cost savings in that business when we combine them, but also revenue synergies. The waves opportunity, for example, is one of them. Clearly, the hyperscaler opportunity is another that I think is additive and incremental to what we had before because we've now got multiple products to sell to a broader customer set. So very excited about the opportunity in that business. And I think ultimately, when you think about the legacy services within that business, there is some TDM there, right? We're inheriting some TDM in the Windstream Wholesale -- heritage Windstream Wholesale business. But by 2027, 2028, that will be less than $100 million of TDM revenue. So, we're working through that. That will be a little bit of a headwind in that business, but we're working through that. And as Paul said in his prepared remarks, that TDM revenue doesn't in any way detract from the real value of the fiber business, the underlying fiber business that's growing and prospering and putting up good predictable results. So, a little bit of headwind but generating cash flow in the meantime and eventually will become an immaterial part of the business. At Kinetic, very excited about the playbook there. And with John now on the team and adding key -- leaders in key positions, those inflection points for next year are very much in focus, very much predictable. And as we say around here, we're not forecasting anything Herculean with respect to what others have accomplished in the copper to fiber migration story. I mean this is -- we're not -- we don't shy from the fact that John comes from Frontier, which ran a playbook, and we're following a lot of that and obviously making additions and improvements in certain areas, and we've got a little bit of a unique footprint relative to Frontier. But really, the playbook is very, very clear, and we think the growth trajectory in the fiber business at Kinetic is very predictable. And so very excited about that. And yes, we're going to work through the copper and DSL book of business, but we're going to do that in a responsible manner, and we're overbuilding and we're replacing that with a superior product, and we're migrating customers in an aggressive manner -- increasingly aggressive manner, I would say. And so eventually, you're going to start to see that predictable growth at Kinetic. So, when you take those 2 businesses together, we think we're creating a lot of value in those businesses by building fiber, transitioning out of legacy networks and services. And I think the path is very, very clear. And that's 3/4 of our business. And so, then you get into the Uniti Solutions business, which is really where a lot of the heritage headwinds and declining top line exists. We -- by the end of this year and early next year, we'll largely have exited the TDM part of that business. And then you've got large enterprises that are taking managed services products that are generally off-net. And as we've pivoted that strategy away from targeting new logos and focusing on the long-tenured customers and the profitable products within that business, yes, that's going to continue to result in top line decline. But we feel like the book of business that we're left with in 2 or 3 years is going to be died. Long-tenured customers, large enterprises, some of which we think we can bring onto our own fiber network, some of which we think are going to be bandwidth hogs when the learning -- or sorry, the training -- the inference phase of AI starts to kick in. And we also think there's cross-selling opportunities with that business into our base at Kinetic and Uniti Fiber. So, all that to say, those headwinds are going to persist for the next several years and are, in some ways, going to cloud the growth at the core fiber business. But in the meantime, we're generating nice cash flow off that business, and we're transitioning the really large key customers either on-net, and we're certainly using the really high-quality products in those -- in that business to help us in other parts of the business. So, on your strategic question, Michael, a lot of activity there. We look at M&A the same way as we've looked at it for years. There's 4 buckets, right? There's asset sale opportunities. There's joint venture opportunities. There's opportunities to add bolt-on deals that are strategic. And then, of course, there's the real big bucket of just selling the business or parts of the business. I'd say in the asset sale category, we're actually looking at a number of opportunities to generate some nice cash flow. I mean we've got a lot of fiber around the footprint that we're not planning to light anytime soon within the Fiber Infrastructure business, for example, we think those could be monetization opportunities. There's also some fallow real estate within the footprint that we're looking at. On the joint venture side, there's a lot of third-party capital looking to help companies like ours accelerate the build. There's also a lot of capital looking to invest in fiber, AI infrastructure. And so, we're looking at some of those opportunities. And I think there could be some opportunities there. That's really a cost of capital conversation more than anything. But -- and right now, we don't necessarily need the capital, but we're certainly looking at those opportunities to create options for ourselves. And I'd say on the bolt-on point, we're certainly getting lots of opportunities to look at. But I think on balance, the marginal dollar is probably better spent investing internally than being acquisitive. So, we're not spending a lot of time in that category. And really, on the last bucket, the big tectonic plates continue to move in the industry. And we -- with our 2 scaled fiber businesses, Fiber Infrastructure and certainly Kinetic, we feel like we have 2 very strategic and very valuable assets. And I would say that our confidence level in that statement grows every day rather than dissipates. So, Paul, anything you want to add on the trends or outlook?
Paul Bullington: No, I think that's good.
Operator: And the next question comes from Richard Choe with JPMorgan.
Richard Choe: I wanted to follow up on the hyperscale opportunity. It seems like that pipeline is just going to continue to grow. But can we get a sense on timing maybe on when you should start signing these deals and coming through and how that should pace over the next few years because it seems like such a big opportunity.
Kenneth Gunderman: So we've already -- we've signed a lot in the past couple of years. And I'd say the past couple of years, more like the past year, maybe 18 months. And look, this TAM came out of nowhere in a very short period of time. I remember 2 years ago, maybe 30 months ago, we were getting questions about whether or not this was real. Is there really an opportunity there? And we were struggling to answer that question because the numbers and the outlook looked extremely exciting and bullish, but we were trying to be measured in our response. And now we fast forward 2 years, and we can't keep up with the numbers and we can't put numbers on the page that are -- that seem current or that aren't overly conservative. So, we've definitely been signing deals, and we have more to come. I do think, as I said in my prepared remarks, the next couple, several quarters, you're probably going to see the bigger deals are the biggest deals that we've had to date, and those are probably going to start showing up in revenue and EBITDA. And I think that's -- we've said for the past 12 months that many of these deals don't show up in the vanity metrics like bookings or revenue and EBITDA because the nature of the deals are -- if you're building something with a very high NRC, it just doesn't show up in a bookings number. It doesn't show up in a revenue or EBITDA number. And so, we've consistently heard from investors that they want more visibility into those deals and how the economics work, and we have a plan to start showing that in the coming quarters as these bigger deals start to come online. So, all that to say, Richard, we have been signing the deals. They haven't been showing up in the vanity metrics. But on a go-forward basis, I think we're going to be signing more deals, probably bigger deals, and we're going to be able to show you a little bit more visibility into all that.
Richard Choe: And then one on the Kinetic side. In terms of the churn for the fiber there, the residential customers, where are you losing customers to? And what's the plan to maybe reduce that churn, if you can?
John Harrobin: Yes. So, this is John. Thanks, Richard. On the fiber churn side, we're high on the churn rate versus benchmark. And that's not dissimilar than Frontier in 2021 when it first started its transformation. And we're losing to the logical players in our fiber footprint, it's not FWA or LEO, its cable, right? It's largely cable. And our approach is to apply the same 5 tactics that I know work, and we're starting to execute those right now. The first tactic really is to clear the decks of any noise, right? And we're making 2 hygiene changes to do that. First, in July, we saw that we were dragging on nonpaid customers for a little bit and incurring bad debt. So now we have a policy to write them off earlier. So that's going to inflate churn a little bit on the fiber side. We'll wash through that by the end of the year. And the second is to really get out of the ACP credit business when the ACP program went away, we extended credits to those customers. And on September 1, we notified them that that's no longer going to be the case and effective September 1, we are no longer subsidizing the ACP program after it went away. That's going to put about a 16-basis point pressure on fiber churn in the fourth quarter. But again, that's just clearing the decks for the future. The second is being more surgical about price ups. Over the last 18 months, the legacy company was pretty aggressive about across the board price ups. So, versus across-the-board price ups, we're going to be more surgical and very customized by each customer based on their competitive profile and their speed tier, assign them a price up that's fair and inflationary. And in many cases, if we can give them more speed for more money, more for more value. That's the strategy that we'll take. Cable has used it, Frontier has used it, we're going to use it. So yes, we might be increasing your rate a few dollars, but we're also going to double your speed in some cases. So, it's that more-for-more strategy and aligning value with price. The third is really redesigning our value proposition. We just went from national pricing to regional pricing to not leave money on the table and take more share. We've eliminated the concept of rack rate pricing. And we've adopted a pulse strategy. So, we'll go in and out of markets with promotions. So that is -- that's a tactic that works, and we're deploying that. And we've recently revamped many call center practices. That's the kind of the fourth prong, routing customers to the right queue, simplifying the IBR to get to people quicker, aligning incentives with reps so that it's not only save rate but also net retained revenue for the retention queues and really using GenAI to identify root cause of churn and performance management, identifying those reps that do it well and those that don't and sharing them pushing out those best practices to the entire team. And finally, and very fundamentally, it's fixing broken customer experiences. Every week, my leadership team gathers around the table to find, proactively find and fix problems, and this is a discipline and muscle that we're building to act fast and to do this. Everything from transferring customers too many times, and we've made some progress there to simplifying the IVR to small business customers up until a month ago that wanted single location small business customers up until a month ago that wanted to place a fiber order could not schedule an install date. We fixed that pretty quickly and sales went up fairly significantly. So, these are the things that we're finding and fixing, and this is the way to go after churn and loyalty. I expect we'll make strong progress. This isn't rocket science.
Richard Choe: It sounds like a good playbook and nice to clear the decks for next year.
Operator: And the next question comes from David Barden with New Street Research.
David Barden: I guess I got a couple of questions for John. John, there's a philosophical divide in the fiber market right now, which is building in-house versus outsourced building and how that contributes to your cost to pass and your efficiency and your ability to scale. I was wondering if you could kind of elaborate a little bit on kind of where you are landing on that in the kind of the new kinetic. And then the second is the chart where you guys show the penetration rates for fiber, I mean, 25% to 30% penetration year 1 is pretty incredible. But then it tails off really quickly, only getting us a few more percentage points over the next couple of years. Could you kind of talk a little bit about that arc? How do you get that really high penetration year 1? And then how are we going to scale that further in years 2, 3 plus?
John Harrobin: Yes. Excellent. Thanks, David. And on your first question, we've made 3 major fundamental changes to our build plan over the last several months. First is from having no plan to actually having one with a very specific sequencing of where we're going to build in what order, we know every household specifically for the next 3 years in sequence. The second is moving from subsidized builds largely to strategic builds. And 2025 will be the last year that Kinetic builds more subsidized households than strategic households. And the third is going from predominantly internal construction teams to predominantly external. We took a page out of the Frontier playbook here, put multiyear volume on the table and secured agreements that can scale cost efficiently. And because we have an internal team, we know that we could hire up there, we could deploy. It just takes time and effort. But that gives us a little bit of leverage when negotiating with third parties as well. And it's not one or the other. It's absolutely both. Our internal teams not only have a cost advantage and combine that with our 95% either fiber now or fiber-to-the node allows us for quick and cost-effective deployment of fiber. But the internal teams have a lot of flexibility to travel, to go to places where we can pivot quickly as appropriate and send teams in to do specific builds. And so, we have a plan to use both internal and external effectively, so we don't buy into one or the other. I think if we can get the right cost, and we believe we have them on external, that's the fastest way to scale, and that's where we're moving the majority of our work to. But we'll never give up our internal construction team. On the other question on the fast penetration and then the curve for the outer years, yes, this is -- you see this also with overbuilders, et cetera. You hit a wall. And I remember in 2021 at Frontier, people were skeptical of us growing the legacy -- what we call the base markets and the legacy markets, I think it was like 40.5% penetration in 2021. And we said we wanted to get to, what, 45% in 4 years. We achieved that 1 year ahead of schedule. And I think last quarter, Frontier might have announced 48% penetration in those base markets. So, I think the Kinetic team has done a really strong job penetrating homes in new fiber territories quickly. They have a whole effort called Fiber Fast that's very disciplined, and it's very effective. Where they haven't paid as much attention to is those legacy markets. And recently, we have. And I can tell you that we're seeing improvements there in the older cohorts. And a lot of it is just how you go after those discretely. Do you pulse in and out of those markets with promo? Do you add distribution in those markets, either door-to-door or do you bolster media, performance-based media in those markets. So, a combination of promo, distribution and media is how we go after that. And that's how we did it at Frontier, and it seems to work. So, I'm confident that we'll make inroads there. Those are really good markets with good market profiles. We should be winning our fair share in those markets.
Kenneth Gunderman: David, just to build on John's comments on the build and philosophy there. We've said for several quarters now leading up to this pivot to more external that our build costs would increase. So going from that historically low $600 to $650, all internal that we were going to make the sacrifice to let that cost per passing increase some. But the benefit of that would be that we bring all the things John just said about the benefit and able to build more faster. We think that trade-off is well worth it. So, to your philosophical point, that's where we land. Let's bring in a good mix as opposed to doing it 100% internal. Yes, you spend a little bit more per passing, but all the benefits that John just mentioned accrue eventually to the bottom line.
Operator: And our next question will come from Brendan Lynch with Barclays.
Brendan Lynch: Just on Kinetic home passings, you're a little below the pace that you originally anticipated, but expect to kind of recapture that original trajectory in 2026. Can you just walk us through what you expect to change next year to help you get back on track?
John Harrobin: Yes. I mean we're below, as Kenny mentioned, a slight bit, but we expect to catch up in the first quarter. That's simply a timing issue. After the merger close, we realized that not all projects that were designed and ready to go. We secured the crews external to go build them. Not all the projects were permitted, and we ran into delays on permits and locates, particularly in those subsidized markets where we're new to the area and we don't have any existing experience or facilities. This is not a Kinetic problem. As you know, permitting is an industry-wide problem. There's a lot of support and efforts to streamline the permitting process. We support U.S. telecom and other institutions that are going after that. I know there's potential EOs on the table as well, which we're supportive of and the FCC has been a good advocate for reform here. That said, relative to permitting and facilities, we have visibility to every project, where we are in that pipeline, how to get ahead of it, the timing now and this is easy to resolve, and we're already knocking down some obstacles. We took our team that really did a good job on our subsidized build planning and winning a lot of great subsidized build and pivoted them to solely focus on managing our permitting and locate motion. And the velocity there has increased in September and October consecutively. We've set an internal record on number of permits cleared, not that, that means anything in the -- when it comes to build plans, but we know that we're clearing the decks for the teams to roll. So that's why we're really confident that in first quarter, we'll catch up.
Brendan Lynch: Great. That's helpful. And then, Kenny, you kind of teased multiple dwelling units as a growth opportunity. Maybe just help us understand why that wasn't part of the plan in the past and what's changing to make it part of the plan now?
Kenneth Gunderman: Yes. Great question. I'm going to start and then turn it to John to pile on, Brendan. So, look, I think the short answer is it just wasn't a priority because there were so many other priorities that were being focused on, number one. But number two, I think that we've talked many times about bringing in fresh leadership, a fresh set of eyes, a proven playbook. This is one of those great examples of how with John coming in and taking a look at where we were focusing, where our resources were targeted and just servicing the concept that, "Hey, this was a big opportunity at prior companies. And here, it's a big opportunity as well, and we don't have the resources next to it that we should. And on a go-forward basis, we're going to." So, it's just really a question of leadership and priorities.
John Harrobin: No, I think that's well said. At Verizon, I manage the MDU business and you kind of have to win there in Verizon. I mean, with New York City, Boston and other large cities, you kind of have to nail that. And then at Kinetic, there really wasn't investment there. So, we kind of built it from the ground up. And to this day, I mean, at Frontier, I think it's delivering double-digit nets every single quarter right now in terms of customer growth. So, once you get it rolling, it's really strong and the IRRs are really even higher than single family business. So, I'm very bullish on it. It will take a little bit to build, but we'll get it done. You've got to have the right motion, if you will, and leadership. You also have the right product. We have the right product. In fact, our EOR deal that we just announced has certain MDU and community capabilities that we can use to deliver effectively on that segment. So, we're going to get after this. And it might take a few quarters or a year to really show the results. But once we get involved there, I know that we will succeed.
Operator: And the next question will come from Matthew Griffiths with Bank of America.
Matthew Griffiths: I want to ask on the fiber -- consumer fiber ARPU. You mentioned in the comments explaining the kind of sequential down move was caused by price adjustments and net adds. So, I was wondering to what extent kind of your comments on churn kind of impacted the move in ARPU? And then on the net add side, are you finding that the kind of incremental net add is coming in at an increasingly lower ARPU? Or was this just something within the quarter that we may not see repeat? An added color there would be great.
John Harrobin: Yes, Matthew, astute question, and I'll answer the first part. And then on the second part with new customers, it may sound like I'm circling the airport, but I promise I'll land the plane and answer your question. Yes, there's a correlation between churn and ARPU. I mean, we have very high churn and among the best -- highest ARPUs in the category. I mean, 10% year-over-year on top of an already high ARPU in the category. I mean that's something that we need to really understand, and I spent a lot of time initially understanding that. The high ARPU that we have is in part due to our market profile, which is, I believe, is very attractive and distinct. But the 10% year-over-year is really a result of multiple across-the-board price ups over the past 18 months. And just like with copper customers, we're going to get more surgical here. We're going to drive more for more and really use the speed ladder to move customers up the speed ladder to drive ARPU higher. And we have a massive opportunity there. 65% of our fiber base is on plans that are less than 1 gig. This is, again, similar to the Frontier playbook. Just about a month ago, we launched 2 gigs to 85% of our footprint. And already new customer take rates there are in the double digits. We're going to introduce more value-added services to sell more services to customers, not only to drive more ARPU, but also, we know the more services customers purchase from us, the lower the churn is for those customers. And also, a contributor to ARPU is using credits more effectively. We put more controls on the use of credits over the last 60 days, and we've now aligned rep or retention rep compensation with net retained revenue. So, you want to qualify the customer, rightsize them and you don't have to drop all the way to the bottom in terms of saving the customer. You asked about new customers. And I'm always reminded of Moffet's characterization a couple of years ago, we really captured the essence of our category's new customer promo strategy. He think he characterized it, and this is almost exact words, like "It's really value deferred, not forgone." And for years, and this works, the industry brings in new customers at a lower rate because it reflects the natural ability to move customers up the speed ladder, sell more services and deploy inflationary price increases. We embrace that notion. We've changed our go-to-market recently, like I mentioned before, to take advantage of that. And so, we have specific plans to grow ARPU using the 4 levers that we always use, speed ladder, value-added services, inflationary price increases and use of credits. And while it might not be -- it won't be 10% on a sustainable basis, we do believe there's a path to durable ARPU growth.
Operator: I show no further questions in the queue at this time. This does conclude today's conference call. Thank you for participating, and you may now disconnect.